Operator: Good morning, ladies and gentlemen. Welcome to DAVIDsTEA's First Quarter Results Webcast for Fiscal 2025. Today's webcast is being recorded [Operator Instructions] Before we begin, I'd like to remind you that this webcast contains forward-looking statements regarding our expectations for the business in the coming quarter and fiscal year. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected. Additional information on these risks can be found under the heading Risk Factors and Uncertainties in the Management's Discussion and Analysis of Financial Condition and Results of Operations, the MD&A, which was filed with Canadian regulatory authorities and is available on the www.sedarplus.ca as well as in the Investor Relations section of our website at www.davidstea.com. Forward-looking statements speak only as of today's date, and the company undertakes no obligation to update or revise them. If any non-IFRS financial measures are referenced during this webcast, you'll find a reconciliation to the most directly comparable IFRS measure in the MD&A. Please note that all dollar amounts discussed are in Canadian dollars unless otherwise indicated. With that, I'll now turn the call over to Sarah Segal, Chief Executive Officer and Chief Brand Officer of DAVIDsTEA.
Sarah Segal: Thank you, operator. Good morning, everyone, and thank you for joining us today. Fiscal 2025 is off to a strong start, underscoring the momentum of our turnaround strategy and our progress towards sustainable profitable growth. Our performance this quarter reflects the steady execution of our omnichannel growth strategy and highlights the progress we have made across our operations. I'll address 3 key achievements. First, we maintained strong momentum in our retail channel sales with 11.5% growth year-over-year, including 2.8% comparable same-store sales growth. This marks another strong quarter for our retail operations, and we're excited about upcoming store openings. More on that shortly. Second, we achieved meaningful gross profit expansion above 51% of sales, driven by improved product margins and lower freight, shipping and fulfillment costs. Internalizing our fulfillment operations is paying off, reducing costs, improving efficiency and enhancing the end-to-end consumer experience, clearly delivering value. Third, we reduced selling, general and administrative expenses by $1.5 million year-over-year, down to $6.9 million in the quarter. This reduction was largely enabled by transitioning to a more agile and cost-efficient IT platform last fall. As a result, we generated adjusted EBITDA of $1.6 million on sales of $13.5 million, an encouraging margin of 11.7%. That said, we continue to face global uncertainty in the macroeconomic environment. While consumer sentiment provided challenges for our wholesale and online channels, we've taken targeted steps to address this, including appointing new leadership and refocusing channel strategies to drive future growth. Our new VP of Wholesale brings deep experience in CPG expansion and our incoming VP of Online Sales and Digital Marketing has a proven track record in driving e-commerce growth among many relevant audiences. Looking ahead, we're preparing to open new stores in the fall and to relocate one store to a high-traffic suburban center on the South Shore of Montreal. These openings are key to our strategic plan to grow revenue at a compound annual growth rate of over 10% across 3 years while also driving incremental gains in our online and wholesale channels. In short, we remain committed to sustained profitable growth by optimizing our retail footprint, delivering a compelling omnichannel brand experience and deepening customer engagement. To summarize, DAVIDsTEA advanced its turnaround in Q1 2025. We delivered on the goals we set last year, restructuring operations, managing costs and stabilizing revenues. Now we're positioned for growth with new store openings on the horizon and a clear path to sustainable profitability in all channels, while always challenging ourselves to innovate, ride the waves of interest in tea and wellness and continue to listen to our loyal customers. Thank you to all our supporters and tea fans. I will now turn the webcast over to Frank Zitella, President, Chief Financial and Operating Officer of DAVIDsTEA.
Frank Zitella: Thank you, Sarah, and good morning, everyone. We began fiscal 2025 on a solid footing. Our first quarter reflects incremental sales growth, margin expansion, disciplined cost management and a substantial reduction in net loss. While we anticipate typical seasonal softness in the second and third quarters, our leaner cost structure, healthy liquidity and diversified channel mix positions us well for anticipated full year profitability. Let's take a closer look at our financial performance. Consolidated sales grew by 0.6% year-over-year to $13.5 million, led by the strength in our brick-and-mortar network, offset by declines in our online and wholesale channels amid ongoing macroeconomic uncertainty. On a channel basis, brick-and-mortar sales rose by $0.5 million or 11.5% to $5 million, driven by 2 new store openings in the Montreal area and 2.8% growth in comparable store sales. Online sales declined by $0.3 million or 4.8% to $6.4 million, and wholesale channel sales decreased by $0.1 million or 5.3% to $2.1 million. Geographically, Canada accounted for 86% of total sales, while the U.S. accounted for 14%, with a notable 10.1% increase year-over- year. Gross profit margin improved significantly to 51.1%, up from 43.3% in Q1 of 2024. This result exceeds our targeted range of 48% to 50% over a 3-year horizon and demonstrates the effectiveness of operational discipline. Selling, general and administrative expenses declined by $1.5 million year-over-year to $6.9 million, a 17.9% reduction. The most significant contributor was a $1.1 million reduction in IT-related expenses following the successful conversion of our technology stack to a lower-cost platform, a move that has permanently reduced our operating cost base. The prior year quarter included $0.6 million in professional fees related to financing and $0.5 million in asset impairment charges, both of which were nonrecurring. These savings were partially offset by an increase in marketing investments and employee separation costs. As a percentage of sales, SG&A expenses dropped to 51.3%, down from 62.9% in the prior year quarter reflecting improved cost efficiency and operating leverage. In terms of profitability, we reduced our net loss to $0.2 million in Q1 2025 compared to a $2.6 million loss in the first quarter of last year, reflecting ongoing improvements in our business model. As sales momentum builds, we anticipate stronger flow-through to the bottom line. Adjusted EBITDA reached $1.6 million, a sharp improvement from negative $0.8 million in the prior year quarter, driven by both margin expansion and SG&A reductions. Moving on to liquidity and capital resources. DAVIDsTEA's cash position improved to $10.4 million at quarter end, up from $8.8 million in Q1 2024. On a sequential basis, our cash declined from $16.2 million in Q4 2024, reflecting the seasonal nature of our business. Cash flow used in operating activities totaled $4.6 million in the first quarter compared to $2.6 million in the same period last year. This increase reflects the seasonal nature of our business with higher working capital requirements typical of the first half of the year. Importantly, we remain confident that our current liquidity positions us well to support not only our day-to-day operations, but also our strategic growth initiatives. We're encouraged by the solid start to fiscal '25 and the meaningful progress we've achieved, including expanded margins and improved profitability, strategic talent additions aimed at accelerating sales momentum in both online and wholesale channels, and new store openings planned for the fall aligned with our 3-year revenue growth strategy. Looking ahead, we remain committed to delivering long-term shareholder value through disciplined execution, operational agility and a customer-first brand-led approach. We believe the foundation we've built positions us well for continued success in the quarters to come. This concludes the review of our Q1 fiscal '25 results. If you'd like to learn more about DAVIDsTEA, explore partnership opportunities or speak with our leadership team, please reach out to Investor Relations, who will be pleased to facilitate. Thank you for joining us today.